Operator: Thank you for standing by. My name is Ian, and I will be your conference operator today. At this time, I'd like to welcome everyone to the Lightspeed First Quarter 2025 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks, there will be a question and answer session. [Operator Instructions] I will now hand things over to Gus Papageorgiou, Head of Investor Relations. You may begin your conference.
Gus Papageorgiou: Thank you, operator, and good morning, everyone, to Lightspeed's Fiscal Q1 2025 conference call. Joining me today are Dax Dasilva, Lightspeed's Founder and CEO; Asha Bakshani, our CFO; and JD Saint-Martin, our President. After prepared remarks from Dax and Asha, we will open it up for your questions. We will make forward-looking statements on our call today that are subject to risks and uncertainties that could cause actual results to differ materially from those projected. Certain material factors and assumptions were applied in respect to conclusions, forecasts and projections contained in these statements. We undertake no obligation to update these statements, except as required by law. You should carefully review these factors, assumptions, risks and uncertainties in our earnings press release issued today, our first quarter 2025 results presentation available on our website as well as in our filings with U.S. and Canadian securities regulators. Also, our commentary today will include adjusted financial measures, which are non-IFRS measures and ratios. These should be considered as a supplement to and not a substitute for IFRS financial measures. Reconciliations between the 2 will be found in our earnings press release, which is available on our website, on SEDAR+ and on the SEC's EDGAR system. And finally, note that because we report in U.S. dollars, all amounts discussed today are in U.S. dollars unless otherwise indicated. Before I hand the call over to Dax, I just want to remind everyone that we will be hosting our Capital Markets Day the morning of Wednesday, November 20, at the New York Stock Exchange. Please mark your calendars and more details will follow. With that, I will turn it over to Dax.
Dax Dasilva: Thanks, Gus, and welcome, everyone. This was my first full quarter returning as Lightspeed's CEO, and I'm happy to report that we are delivering on our goal of profitable growth. Our first quarter results were characterized by strong revenue growth, increased payments adoption and improved profitability, a trend that I expect to continue through fiscal 2025. We've also put measures in place to accelerate growth in our software revenue and customer locations that will largely be seen in the second half of our year. In Q1, we delivered revenue of $266.1 million, up 27% year-over-year and significantly higher than our previously established outlook of between $255 million and $260 million. We delivered adjusted EBITDA of $10.2 million, again, well ahead of our previously established outlook of $7 million and significantly better than adjusted EBITDA loss of $7 million in the same quarter last year. Payments penetration came in at 36% this past quarter, up meaningfully from 22% in the same quarter last year. Our growing payments penetration along with a concentrated effort to control costs, allowed us to demonstrate the leverage in our business model and deliver record quarterly adjusted EBITDA results. These strong financial results demonstrate Lightspeed's success in fulfilling our mission of empowering independent retail and hospitality businesses with technology that was previously limited to large enterprises. Our focus remains on attracting our ideal customer profile or ICP being sophisticated high GTV merchants with complex needs. This quarter, we were honored to add a host of compelling new customers, including Google Bike in California, a set of 3 bike shops on the Google campus. Gbike allows employees to service and tune their bikes while at work. These 3 locations and their warehouse will use Lightspeed Retail to help serve their customers. Harkins in Dublin, Ireland with 3 brands across 17 locations, this well-known home garden and pet retailer adopted license offering in all 17 locations after a successful 3 location pilots. Caravel Shoes. This ICP customer with complex inventory management needs and high sales volumes saw the benefit of the unified Lightspeed retail solution to replace its separate POS and payment solutions. Food Maker, a well-loved health food restaurant group in Benelux, France, with over 20 locations. Food Maker was unhappy with our current POS provider and looking for a solution that could better handle their multi-location requirements. After a successful 1 location pilot, they plan to start rolling out Lightspeed Restaurant across other locations. Northgate Resorts, with over 20 locations across the U.S., Northgate was looking for a more sophisticated cloud-based offering to manage their multi-location needs. They under took a 1-month pilot of Lightspeed Restaurants, Tableside and Order Anywhere and so far have onboarded 10 locations with great success. Dineen Coffee, the highly successful tea coffee house chain in Downtown Toronto with 5 locations processing millions in annual GDP has signed on for the Lightspeed Restaurant. Dineen plans to onboard its locations over the next few months to help them compete against the giants in the coffee industry. And for our supplier network, we added several new brands such as Tommy Hilfiger, Calvin Klein and Valley, the well-known Swiss luxury footwear and handbag provider. I am always happy to welcome you customers to Lightspeed, but it is sometimes even more satisfied to welcome back customers that have previously left for 1 of our competitors. Having initially lost wedding dress retailer, Amelia Wicked to 1 of our cloud-based competitors, we are happy to see them returning to Lightspeed given the depth of inventory management reporting a multi-location functionality found within Lightspeed Retail. As many of you know, I developed the original Lightspeed offering about 20 years ago, and I have always been very product focused. And in this area, I am thrilled with the innovations that our R&D teams are delivering. The 1 Lightspeed initiative gave us 2 compelling flagships and now that the integration is done, I'm encouraged with the pace of innovation that we are seeing. We launched Visionary in new functionality this quarter and saw great traction for some of our recently released innovations with our teams delivering amazing features that I believe are going to delight and impress our existing customers and help us win many more. In retail, we launched our Omni loyalty program, which allows customers to earn and redeem loyalty credits, both in-store and online. And for store owners and managers, the loyalty program can be managed directly from the POS without having to learn a new UI. Launched this quarter, we've already seen very strong uptake of this feature from our flagship customers. Our efforts in retail are focused on widening the moat between ourselves and other cloud-based competitors and displacing legacy players currently serving our ICP customers. This quarter, we released 3 new advanced inventory management features, which we believe are unique amongst our cloud-based competitors and especially useful for our ICP customers. These include landed costs, which incorporate items such as shipping and duties its total product costs in location, which allows merchants to identify where products are located within warehouses and storage areas and inventory adjustments, which allows merchants to record stock adjustments when and where they find them so that they can keep inventory records up to date. Last quarter, we announced improvements in inventory replenishing forecasts which significantly improves the availability of previously out-of-stock products. This feature will be generally available this month, and we expect it will help merchants improve our sales. Another feature that saw great adoption was payment links. Here, we are seeing GTV process for payment explored by over 30% month-over-month. A popular module in hospitality is our analytics product called LightSpeed Advanced Insights. Insights allows hospitality customers to determine which menu items drive the most repeat business so they can promote the items that are proven to increase sales and renew items that are underperforming. In retail, the challenge is maintaining the right amount of inventory on hand to maximize sales. Retailers want to have more stock of what it's selling and less stock what is not. Our teams have been working to deliver a retail insight solution that can help our merchants solve this problem, and I look forward to making an announcement on this release in the weeks to come. For our e-commerce offering, we recently released AI-powered product photo enhancements. Taking the professional looking photographs of products can be challenging for our merchants. Our AI tool can remove the background from photos, insert a colored backdrop to create photorealistic shadows to enhance product images. Image quality can have a significant impact on boosting sales for our merchants, and we saw tremendous uptake of this feature. And for our supplier network, I am very excited to announce that we have started to open up the pet vertical by adding 12,000 new pet products and over 20 brands, including popular brands such as YETI and Pharmina. Merchants to now automatically upload product descriptions and images into their Lightspeed POS by simply typing in the product name eliminating hours of tedious manual data entry. We expect to add even more products to the retail catalogs this quarter, and we will be adding more catalogs from new and existing partnerships in the fashion and apparel and pet verticals. We also launched the order intense feature for our supplier network that allows brands to better understand what buyers plan to order from their product catalog, allowing brands to have better product planning for the upcoming season to ensure popular items remain in high supply. In hospitality, we announced the recent partnership with Uber. With simple flat rate pricing. This partnership will give our restaurant customers the ability to offer their own delivery service without hiring a single person or owning a vehicle and also avoid the more costly alternative of using 1 of the many food delivery platforms. We continue to roll out our table side and tap to pay offerings in more countries within hospitality, which gives you the power of a full POS right in the palm of a server's hands. Tableside with tap to pay launch for Lightspeed Restaurants in the U.K. and Canada and tap to pay on iPhone launched in France and Australia. Our data shows that our Tableside customers have higher average check sizes, see better tips and turn tables faster. Given its productivity improvements, we believe Tableside will encourage customers to adopt multiple Tableside terminals, which can boost overall software ARPU restaurant. Tableside in and of itself is a fantastic offering, but we believe that when coupled with our soon-to-be-released kitchen display technology, we will demonstrate the level of productivity improvement that restaurants have never seen before. Now I would like to take some time to discuss the year ahead. I will remind everyone that for fiscal 2025, we are focused on 3 key operational objectives aimed at achieving our goal of profitable growth. And these are continuing to advance the adoption of our financial services, controlling costs and finding operational efficiencies and accelerating software revenue growth and gaining market share. In terms of advancing adoption of our financial services, we saw great momentum in payment adoption this quarter and expect payments penetration to continued upward trajectory. Lightspeed capital also had a great quarter with revenues of $7.8 million, up from $1.6 million in the same quarter last year. And in terms of controlling costs, we are also seeing great progress here on the back of some tough decisions. The combination of a growing top line and control costs are delivering improved operating leverage in our business. Having spent the last year focused on improving payment adoption, we are now turning our primary attention back to software growth and we are both putting in necessary measures to grow that business to launch pilot initiatives. Our efforts include increasing our outbound sales motion with an expanded team gradually returning our account managers to their traditional roles of upselling software, many were deployed to accelerate payments adoption. Updating pricing across our portfolio of products for which we have recently started execution, this will impact revenues in the back half of the year. Perfecting all aspects of our customer journey in terms of how we land, launch, manage and support our customers, growing our brand awareness in key retail and hospitality verticals. And finally, launching new software modules that allow us to continue to expand software ARPU. We are already starting to execute these initiatives and expect them to land as we approach the second half of the year. Before I hand it over to Asha, I just want to highlight that we released our sustainability report last week. I'm very proud that the Lightspeed offering can help improve our customers' sustainability efforts. Lightspeed Restaurant allows our customers to reduce their reliance on paper. Our supplier network helps optimize supply chains and reduce waste and our capital offering can help independent entrepreneurs grow and thrive. We've got even further, for example, creating the carbon-friendly dining program which helped plant over 1.8 million trees. And finally, we have created a culture that values diversity, where 86% of our employees feel that they can be their authentic self at work and where women represent half of the executive leadership team. I will now let Asha take us through the quarterly results and provide our outlook.
Asha Bakshani: Thanks, Dax, and welcome, everybody. Fiscal 2025 is off to a great start with revenues and adjusted EBITDA coming in ahead of our previously established outlook. I'm particularly encouraged by the leverage of our business model and the tangible results of our efficiency initiatives which have contributed to a significant improvement in both revenue and gross profit growth as well as adjusted EBITDA compared to the previous year. Highlights for the quarter include: Revenue growth accelerated to 27% year-over-year. Gross profit dollars grew 23% year-over-year, up from 15% growth last quarter. Adjusted EBITDA came in at $10.2 million up from a loss of $7 million in the same quarter last year. Gross payment volume as a percentage of GTV came in at 36%, up from 22% in the same quarter last year. Reflecting growing monetization of our trailing 12-month GTV of $90.8 billion. We began executing our share repurchase program in the quarter, repurchasing approximately 2.7 million shares for approximately $39.9 million. With our total share count down from the previous year, this buyback has offset any share dilution arising from stock-based compensation in the prior 12-month period. Cash flows used in operations improved significantly. Beyond cash flows used in operations when excluding cash used for the buyback and to fund our capital business, we had positive cash flow in the quarter. I will walk you through our latest quarter's performance, our key metrics; and finally, provide an outlook for the upcoming quarter and fiscal year. Total revenues increased 27%, and gross profit dollars increased 23%, thanks largely to our unified payments efforts and growing software ARPU. Subscription revenue increased 6% year-over-year to $83.3 million. Gross margins on subscription revenue came in at 79%, an increase from 75% in the same quarter last year. When removing the impact of share-based compensation expense, gross margin on subscription revenue was 80%, a notable improvement and up from last quarter, thanks to our continued effort to find cost savings across the business. I'm very happy with our strong performance in software gross margins. As many of you are aware, last year, our strategic efforts were centered on unified payments. As part of that effort, our account management team which is usually focused on upselling our customers on software was temporarily assigned to onboard new payments customers. Our account management team historically accounts for approximately half of our new subscription revenue in any given quarter. Although that team has started to return to their roles of upselling software, many account managers will still be focused on unified payments until the end of fiscal Q2 2025, and we expect this to impact our subscription revenue growth. As outlined in our last earnings call, at the start of our financial year, we expect software revenue to improve this fiscal year, with most of the gross acceleration expected in the back half of the fiscal year. Transaction-based revenue grew 44% to $174.1 million. In the quarter, we saw gross payments volume increased 64% year-over-year to $8.4 billion as we process a greater portion of our GTV through our Lightspeed Payments platforms. Lightspeed Capital experienced remarkable growth with revenue growing to $7.8 million from $1.6 million in Q1 of last year as the service continues to be popular with our customers. Lightspeed Capital offers fast access to capital and an automatic repayment method through Lightspeed Payments. Merchants are leveraging this offering to finance inventory purchases, upgrade equipment and expand their overall business. Gross margins for transaction-based revenue came in at 26%, flat to the same quarter last year despite a greater portion of revenue coming from Lightspeed Payments. Capital continues to grow with healthy margins which helped offset declining referral fees. As we convert customers to Lightspeed Payments, we increased our overall net gross margin dollars. And in the quarter, we saw transaction-based gross profit grew 44% year-over-year. Total gross margin came in at 41%, slightly down from the previous quarter and year-over-year. Gross profit dollars came in at $108.2 million, an increase of 23% year-over-year. Despite transaction-based revenues increasing in the sales mix from 58% in Q1 last year to 65% this year, we were able to maintain our gross margins at comparable levels to last year thanks to the growth of higher margin revenue from items such as capital. Adjusted EBITDA in the quarter came in positive at $10.2 million. This marks a significant improvement from the adjusted EBITDA loss of $7 million in the same quarter last year. This positive trend is attributed to our growing gross profit and our unwavering focus on prudent spend across the organization. Total adjusted research and development, sales and marketing and general and admin expenses increased by 2% to the previous year. This increase includes operating expenses related to the growth of our capital program. We've strategically invested in risk mitigation tools to scale this business effectively. As a percentage of revenue and gross profit, our adjusted R&D, sales and marketing and G&A expenses declined significantly year-over-year. This reduction reflects our intensified cost management efforts, including the workforce reductions we announced earlier this year. We are continuing to examine and rightsize our cost base. Our ongoing efforts include renegotiating significant contracts, reviewing global locations to consolidate and reduce our footprint and scrutinizing corporate overhead, such as travel and software licenses. Offsetting these cost reductions in part, we have been making investments in product and go-to-market. As we have mentioned, we do plan to continue to grow our outbound sales teams as they are more effective at winning merchants in our ideal customer profile. And as Dax mentioned, we will continue to invest in product innovation to ensure we maintain our lead for complex high GTV brick-and-mortar merchants. We had an adjusted income of $16.1 million compared to an adjusted loss of $2.2 million last year, thanks largely to the improvement in the items driving our adjusted EBITDA performance. We continue to actively manage our share-based compensation and related payroll taxes, which were $11.7 million or 4% of revenue for the quarter, down from $18.7 million or 9% in the same quarter last year due to the ongoing prudent management of our equity pool as well as certain forfeitures in the quarter due to our recent workforce reduction. GTV from our flagships continued to be strong this quarter, up 24% year-over-year, demonstrating that for our target customers and with our flagship products, we're seeing good success with attracting the right customer base. However, in retail, same-store sales remained challenged particularly in certain verticals, including Bike and Home & Garden and traffic in U.S. restaurants was down overall. As a result, our overall same-store sales were down year-over-year. Overall GTV in the quarter, including non-flagship offerings, came in at $23.6 billion, up 1% year-over-year. In fiscal 2025, our focus remains on increasing our high GTV customer base and accelerating software revenue growth in both retail and hospitality. As Dax mentioned, we're optimizing our customer onboarding, management and support processes, increasing our outbound sales efforts, implementing targeted price adjustments and reorienting our account managers back to upselling software. Sophisticated customer locations with GTV exceeding $500,000 and $1 million per year, grew by 4% year-over-year. While those with GTV under $200,000 a year continued to decline. Excluding equity customers, our total ARPU for the quarter reached a record $502, an impressive 31% increase year-over-year. This improvement is the result of both unified payments as well as an increase in software ARPU, given our focus on our flagship products and on shifting our customer base towards higher GTV locations, which typically adopt more software. Retention rates for our ideal customer profile continue to improve. While there was a slight uptick in churn among nonflagship customers that was associated with the launch of our unified payments initiative, we believe this challenge is largely behind us, with the vast majority of churn occurring in lower GTV cohorts. In terms of our balance sheet, Lightspeed closed the quarter with just under $674 million in cash and cash equivalents, down from approximately $722 million in the previous quarter. Merchant cash advances used $15.4 million of capital during the quarter, and we used approximately $39.9 million to buy back approximately 2.7 million shares. Excluding cash used for our capital offering and the share buyback, Lightspeed generated positive overall cash flow in the quarter, which was good to see as we position the company to deliver sustainable free cash flow in the future. We continued our efforts with unified payments in the quarter and GPV as a percentage of GTV came in at 36%. Now that it's has been a full year since our Unified Payments launch. I can say with confidence that this effort has been invaluable for us. in terms of improvements in our ability to sell on board and get customers transactional on payments. From the time we launched Unified Payments in May 2023, slightly over a year ago, our payments penetration has grown from 22% to 36%. We will continue to benefit from those improvements, and we expect the proportion of GTV falling through our payments offering to continue to increase as all new eligible customers onboarded must take payments. The LTV to CAC ratios of our customers improves when they add payments, and we are seeing that in our results today. Now turning to our outlook. Q1's results provide us with increased confidence towards achieving our goals of improving adjusted EBITDA profitability and increasing adoption of our financial service offering. In addition, as Dax mentioned earlier, we have put in place measures that we expect to increase software revenue growth in the second half of the fiscal year. For Q2, we will likely see similar trends to Q1 with sales growth coming predominantly from transaction-based revenue as we continue to expand adoption of our payments and capital offerings. It is worth noting that for Q2 year-over-year growth, we are lapping a significant revenue uplift due to the surge of uniform payments customers becoming live last year. Furthermore, our initiatives aimed at growing software sales will only partially impact the upcoming quarter. For the second quarter, we expect revenue between $270 million to $275 million and an adjusted EBITDA of approximately $12 million. For fiscal 2025, we are increasing our expectations for adjusted EBITDA from a minimum of $40 million to a minimum of $45 million and we remain confident that we will deliver overall revenue growth of at least 20%. With that, I will hand the call back to Dax.
Dax Dasilva: Growing our software revenues and ICP locations will be the next step towards our goal of profitable growth. I wanted to highlight that this company has had a long history of taking bold steps forward. In 2013, we decided to move to the cloud, and today, all of our software revenues are cloud-based subscriptions. In 2014, we decided to expand beyond North America and into the restaurant vertical, and to date, excluding equity customers, almost 40% of our locations are in hospitality and approximately half of our locations are outside of North America. In 2019, we launched payments, and today, transaction-based revenues account for 65% of sales. Our focus now is on expanding our ICP locations and accelerating growth in our software business. I believe we will approach these initiatives with the same enthusiasm and determination that has worked for us in the past and that we will achieve similar levels of success. Operator, we are now ready to take questions.
Operator: [Operator Instructions] Your first question comes from the line of Dan Perlin with RBC. Your line is open.
Dan Perlin: I just wanted to just kind of delve in a little bit deeper on the decision to kind of keep the account managers a little more focused on payments to 2Q. I mean it sounds like that was kind of the game plan originally. To me, it felt like it's a little extended. But I just wanted to know, was there anything that was incrementally driving that, maybe the success that you're having, you want to just kind of prolong that? Or maybe there was just timing differences in terms of what you had anticipated in terms of what you were going to pivot back towards a subscription base?
Jean-David Saint-Martin: Yes. Thanks for the question, JD here. No, look, we've been following the game plan that we've given ourselves for this fiscal year. Obviously, we're on the tail end of the Unified Payments program that came from last year, which, as you remember, we started in Q1 in AM retail, but then we progressed throughout the rest of the regions that we operate in throughout the year. And really for us, this year, it's really a story of 2 halves. Ultimately, our AM team, as you know, as you pointed out, is a big driving force of our software revenue. And so in that context, they're going back as the year progresses through to cross-selling and upselling software as well as payments, but really a balanced approach and also mitigating churn. So really, as the second half starts to come through, we're going to start to see software revenue growth come back above 10% and beyond, which we're really confident with. And all the leading indicators that we see, the pipeline that we're building is pointing in that direction.
Dan Perlin: Just a quick follow-up. Any color you can give us or flavor around this updated pricing strategy that you got going into the second half, is it on products that are kind of in back book? Or are these just kind of as net new clients come on, they're coming in a little bit higher pricing?
Jean-David Saint-Martin: Yes, for sure. It's actually both. So we've done a lot of benchmarking. We even use external consultants to compare the value that we provide to our peers. And given the value that we offer to our merchants with our software modules, we really see opportunities for price increases, and we expect little disruption and we actually started executing on that. And again, here, too, we expect to see the impact of that from Q3 onwards.
Operator: Your next question comes from the line of Andrew Bauch with Wells Fargo. Your line is open.
Gus Papageorgiou: Andrew, you may be on mute.
Andrew Bauch: Just wanted to touch upon quickly the gross margin dynamics in the quarter. It came in a little bit lighter than what we were expecting, particularly with capital contributing that $8 million in the quarter. So maybe just trying to understand how we should think about that for the remainder of the year?
Asha Bakshani: Andrew, yes, this is Asha. Thanks for your question. So from a gross margin perspective, the quarter came in at close to 41%, which is relatively in line with our gross margin a year ago, 42%. That slight delta that you see there is really coming from the fact that are residuals, which is the payments revenue that we would get from integrated partners that's declining and those come in at 100% margin. Those are declining as we take those cohorts of customers and bring them over to Lightspeed Payments. So the net dollars that we get are higher. The net take is also higher but from a gross margin perspective, that would come in at 100% gross margin, whereas Lightspeed’s payments is 20% to 25% gross margin. And in Europe, actually over 30% gross margin. Where capital is concerned, you're right. Capital did very well in the quarter, and that does help our gross margins in Lightspeed Capital comes in at over 95% gross margins. But we have to keep in mind that, that is still a nascent business. The single-digit millions that we saw in the capital revenue in the quarter is helping. But until we grow that business more meaningfully, that's when we'll start to see a more significant impact on the overall gross margin.
Andrew Bauch: And then maybe more of a thematic question. You had a couple of highlights around the supplier network and building the brands that are participating in that endeavor. I guess, are we getting closer to a point where we can start seeing supplier network contributions in the model? And if so, where would we kind of anticipate those revenues to come in?
Jean-David Saint-Martin: You're absolutely right. On the supplier network side, we continue to sign notable brands. Actually in Q1, we signed Imperial and Valley, amongst others. As Dax mentioned as well in the opening, we unlocked the pet vertical through our point-of-sale catalog that is powered by our supplier network, adding 12,000 new pet products. And then our integration between our flagship retail point-of-sale and our supplier network is coming out of beta with record high NPS from customers that have connected their B2B account with our point-of-sale, so we're really proud of that. Now we're stepping forward to monetizing the supplier network, and we expect to start to see meaningful impact as of next fiscal year. This quarter, particularly in light of the strong feedback on the point-of-sale integration, we started to outbound retailers that use our B2B solution to order from their favorite brands, brands that are in our network like Arterix, Tom's, Brunello Cucinelli, Canada Goose and many others, retailers can now pair their point of sale with our B2B accounts and these orders that the place from the beauty products flow through to our point-of-sale product, which is really exciting. It shaves ours off their work week. And that value prop is really resonating with those retailers. So we expect to see really some upside from that point of view as well going forward.
Asha Bakshani: The only thing I'll add there, Andrew, on monetization is just as a reminder, we have about $10 billion of GTV. That's not included in our GTV numbers, that's an annual GTV number that comes the supplier network, and we have started monetization of that $10 billion of GTV in a negligible way, we should see more meaningful monetization in fiscal 2026.
Operator: Our next question comes from the line of Thanos Moschopoulos with BMO Capital Markets. Your line is open.
Thanos Moschopoulos: Can you update us on the progress you're making in migrating the existing base to the flagship platforms? Are you getting more aggressive in using carrots and sticks in order to drive that migration? Or where do we stand in that process?
Dax Dasilva: Yes. So Dax here. So our non-flagship platforms are profitable. There's very little R&D cost, low support -- will support cost. Customers are very familiar with them after the many years that they've been on them. So we are creating pathways for folks to migrate to the flagships, given that all the exciting innovation that I shared in the opening remarks are happening on the flagship. So lots of incentive, especially for those businesses that have big ambitions that are a good fit for the flagships. Yes, so the upgrade program is great for retention, and it's also a great path to them. But we will detail more of what we'll do in terms of large customer base shifts at Capital Markets Day.
Thanos Moschopoulos: And with respect to payment penetration, as we march from the 36% this quarter to the 50% that you're targeting, should we assume that the sequential pace of migration starts to accelerate as you're refocusing the sales force? Or how should we think about that slope over the near term?
Asha Bakshani: Thanos, it's Asha. Thanks for the question. I think that, obviously, payments penetration is impacted quite significantly by the puts and takes of GTV. So Q3, which is our strongest selling quarter for retail, which is our biggest cohort, you're going to see GTV increase, and that's going to impact payments penetration. I wouldn't say we to decelerate because our AMs are now refocused on software because ultimately, every net new eligible customer is forced to take payments, and that's going to continue to sort of march our payments penetration on this upward trajectory. So I don't think that the AMs or we don't think that the AM is coming back to selling software will really impact that payment penetration in a significant way, just given what's happening on the new book, but the payments penetration is impacted by just the puts and the takes of GTV.
Operator: Our next question comes from the line of Timothy Chiodo with UBS. Your line is open.
Tim Chiodo: I know we touched on this a little bit earlier with front book, back book on the pricing that is already starting and rolling out a little bit more as we go through the year. But maybe we could look at it in a different way in terms of trying to quantify. Can you talk about portion of customers that might receive such a price increase on the subscription side, and the relative levels, so kind of x percent of locations receive a wide percent on average price increase so that we can get at least a rough sense or a range of what it could mean to subscription revenue once fully rolled out in terms of the pricing?
Jean-David Saint-Martin: The challenge is I don't think we -- I mean, it's tricky to share the exact numbers. In some ways, it is a sensitive nature, and we want to be conscious of how we share this. But what I can say for sure is that it is a significant number of customers that where we see an opportunity to make a meaningful price adjustment. But again, we want to be careful how we communicate this -- we want to communicate with our customers, first and foremost, and that will make its way through.
Tim Chiodo: No problem. I think that's helpful, significant and meaningful on the X and the Y. That works for me. If you don't mind, a brief follow-up. The payment links, you mentioned a strong growth month over month. I think when we talk, this is a product that you're leveraging the Stripe Link capability, I believe. If you could just talk a little bit about this the card-not-present offering, I'm guessing, as far as payments gross margin go. Maybe this is a little bit higher. And just talk about maybe some of the use cases there, what the merchants are using it for?
Jean-David Saint-Martin: Yes, it's still low, but this is a theme that's important for us, which is anything around quoting and invoicing. We see an opportunity to capture GTV that historically would sit out of our rails on the point-of-sale side or on the e-commerce side because these transactions are settled, call it, after the fact, such as one transactions. And so with these payment links and this new feature that we launched, we're seeing incredible adoption. So from a numbers perspective, year-over-year was impressive growth, but in relative terms, it's still early days. but this continues to help us monetize the overall GTV ultimately, which, as you can see, continues to trend in the right direction.
Operator: Your next question comes from the line of Dominic Ball with Redburn Atlantic. Your line is open.
Dominic Ball: Great job on EBITDA. But looking at organic GTV trends. This quarter was 1% year-over-year. I think the larger cohorts were 4%. This is slightly below U.S. retail growth and somewhat in line with nominal consumption in Europe. So I guess my question is, why are we not seeing market share gains from Lightspeed given the higher quality of product over legacies? And when can we expect this reacceleration of GTV?
Asha Bakshani: So you're right. When we look at total GTV, the year-over-year growth was 1%. Same-store sales were down. But when we think about our flagships, which is really where we are focused as a business. Just as a reminder, it's been about year-and-half that we've gone to market exclusively with our flagship products. And on our flagships, the GTV has grown 24% and same-store sales are in mid-single-digit growth. And that's really where we're focused on as a business. From an overall GTV perspective, there are certain non-flagship products, where we've seen some elevated churn as a result of our Unified Payments launch in Europe, the churn is still lower than what we had forecasted. But nevertheless, there was a slight uptick in churn, and that's impacting the overall GTV. In addition to that, however, we've talked in our prepared remarks about how we plan to grow our ICP locations, verticalized brand marketing, our outbound is ramping up. And we've already implemented these initiatives, and we expect these initiatives will start to bear fruit in the back half of the year. And so you should expect with the software acceleration that we talked about in the back half of the year, you should also expect an improvement in ICP locations as well.
Dominic Ball: And on that point, so given the weakness, shall we say, in some of your European peers and how far behind Continental Europe is for integrated payments, hardware and software, can you give us more color on your plans to grow and try and win more share in Europe?
Asha Bakshani: So from a win more share in Europe perspective, it's really the same initiatives. We have outbound and feet on the street talked about that being up year-over-year quite significantly, and outbound works well for us at winning our ICP locations and that's going very well. We launched it earlier this year, and we're already starting to see the results of that. But when you sign new ICP locations, it takes time for them to get up and running and start showing up sophisticated GTV cohorts, which is our ICP. And so really outbound verticalized marketing, these are the different -- some of the different initiatives that we've already implemented including in Europe and APAC as well as North America. And we should start to see acceleration from that as the quarters go by.
Operator: Your next question comes from the line of Trevor Williams with Jefferies. Your line is open.
Trevor Williams: If I could just follow up on the software outlook. I just wanted to clarify for 2Q, Asha, you're saying growth should be similar to where it was in Q1, plus or minus. And then for the back half, among those 3 levers that you're talking to, the outbound sales, the account managers pivoting back to upsell and then pricing, which you guys already spoke to. Can you give us a sense for the relative contribution from each of those just anything more on kind of the level of visibility into the back half would be great.
Asha Bakshani: So you're absolutely right. As we said in the prepared remarks, the initiatives that you just talked about will bear fruit in the back half of the year. To be honest, when we think about the relative contribution, I would say, pretty similar across AMS coming back pricing and packaging, which JD touched on a little bit earlier. The verticalized brand marketing, that 1 is more difficult in terms of quantifying the ROI. But what we're expecting in the back half of the year is definitely acceleration in software. And I would say relative weight between the ends and the pricing initiatives and what's going to drive that uplift in the back half.
Trevor Williams: And it sounds like with more of the focus on outbound, you should see some reacceleration in the higher GTV location growth as we go through the year. I mean, is that -- do you think enough to offset continued churn at the lower end where we should see kind of net GTV growth accelerating from here?
Jean-David Saint-Martin: Yes, 100%. I mean that's always been our game plan. Again, these initiatives are starting to bear fruit already from a leading indicator perspective, and it will start to show up in the overall as we get into the back half and beyond. And again, I think, Asha, touched on that earlier. But if you think about outbound, we lead with our flagship products on outbound. And if you look at our flagship products, GTV being up 24% year-over-year. As a reminder, our flagship products represent 40% of our overall location. So it's a meaningful base, and that base is growing 24% year-over-year. So this is a promising figure and it should be a good indication for you of what you can expect in the future as that is lapping, call it, the legacy product.
Operator: Our next question comes from the line of Richard Tse with National Bank Financial Markets. Your line is open.
James Burns: This is James sitting on for Richard. Congrats on the quarter. I was just wondering if you guys could talk a bit more about the competitive environment on both the retail and restaurant side? And then maybe kind of what your win rate is looking like against some of those top competitors in each of the respective verticals?
Dax Dasilva: Yes. I'll take the product side. This is Dax. As you saw, this Q1 was just an incredible quarter for innovation for ICPs. We're building for the specific needs of our ICPs in their verticals on retail hospitality e-comm omnichannel as well as on the B2B side. So I think that having that very, very targeted approach instead of the generalized approach that a lot of our competitors have across multiple parts of multiple spectrums of retail and hospitality. I think we've got that focused approach that really gets to their specific needs. And actually, helps us to displace the legacy players that actually run the business of many ICPs. So I think from a competitive lens, being focused in our verticals and being focused with functionality that satisfies their needs is -- makes us highly competitive. And on win rates, I'll pass to JD.
Jean-David Saint-Martin: Yes. I mean if you think of our close rates overall, we don't essay break it apart across specific competitors. But if you think about overall close rates, we typically are in the 32% to 33% range. And what's particularly exciting, I think, for me is when I look at our focus on ICPs and our focus on subverticals that where you actually see that close rate climb and in certain subverticals, we see close rate climbing to 45%, even 50% from demo to close, which is quite exciting to see. So we continue to make progress there as Dax highlighted as the product gets more mature and we pump out new features that really help our customers win. It's making its way through to the funnel.
Dax Dasilva: Yes. And just to finish, I think on the retail side, really what you want to think about is how deep we go in inventory management and how that inventory management is now connecting into that supplier network strategy. On hospitality, there's incredible innovation happening on tools like table side as well as analytics insights. And of course, last quarter, we shipped a direct integration with Uber and then seeing -- and we're seeing great uptake on that for saving our restaurant customers' money as well.
James Burns: And if I could just get one more. Obviously, you made some meaningful buybacks this quarter. Just wondering if you could elaborate on what the capital allocation priorities are moving forward?
Asha Bakshani: As you know, our Board authorized a share repurchase program for up to 10% of our public float, which is actually the maximum we're allowed, that represents $140 million. And in terms of what we've executed on in the quarter, we actually repurchased about 2.7 million of our shares. We spent about $40 million. We haven't disclosed what we plan specifically to buy back in the upcoming quarters. But what I could say is we take -- we always take a very prudent approach to capital allocation, and we plan to be opportunistic with our NCIB.
Operator: Our next question comes from the line of Josh Baer with Morgan Stanley. Your line is open.
Josh Baer: A couple on locations. There were some comments in the prepared remarks about churn sort of stabilizing or being more in the past, plus the ramping outbound and some other initiatives is the right takeaway here that we could see location growth in the key cohorts start to accelerate?
Jean-David Saint-Martin: Yes, I think that's the main message we want to share, particularly in our ICP locations, we've launched a great deal of initiatives across our go-to-market motion, whether it's how we attract new customers, how we onboard customers, how we manage and support them and -- yes, and it's starting to show in our leading indicators, and it will show in the overall numbers. Yes, so that's how you have to think about it, 100%.
Josh Baer: And any -- whether it's this quarter's results or sort of your expectations in the next few quarters, like how will that growth in locations be broken down between new merchant formations, competitive wins, expansion from existing customers?
Jean-David Saint-Martin: Typically, as we -- if you look at new business locations relative to expansion of existing customers that add new locations, it typically break apart as 65-35, 65% new business, 35% coming from existing customers that opened up new locations as they have success with our software and grow and gain ambition to open new locations.
Josh Baer: And just last, just trying to get a sense of the 4% growth in the key cohorts, any sense for how that trended quarter-over-quarter and if those moves were dictated by just merchants moving up or down based on their GTV or from a share perspective?
Jean-David Saint-Martin: Yes. quarter-over-quarter, that came up relative to last quarter and which again, that's why from a leading indicator perspective, we're confident that's going to start to show from a year-over-year perspective. The other thing I would highlight is, again, when you look at ICP locations, we're disclosing ICP locations across our entire portfolio, right, all of our products. But as we leaned in earlier from all of our comments, really, if you look at ICP locations on our flagships, that growth is in the plus 20% range as well. So both of those things are encouraging as far as what you can expect for the back half.
Operator: Our next question comes from the line of Todd Coupland with CIBC. Your line is open.
Todd Coupland: I wanted to ask about Lightspeed Capital. I think you gave the revenue from that business. Can you talk about how much capital was actually out in the quarter? And how you expect that to trend as we go through the year?
Asha Bakshani: When we think about -- if you look in our disclosure documents, you'll see about a $15 million delta on cash out in the quarter from capital. And I say delta because we have also receipts from merchant cash advances of the past, offsetting all of the merchant cash advances that we've given out in the quarter, and that's a net cash out of about $15 million that impacts the quarter. From a revenue perspective, you would have seen we're up over 300% from Q1 of last year. And so we're very happy with that business. As I said earlier, however, it is still very nascent, single-digit million dollar revenue numbers are still pretty nascent. But I think we're -- what's important is we're super excited about the prospect. We're super excited about what our customers are saying. They love our product. and the demand is there. And it's really just about us managing risk so that we can still stay in the very low single-digit default rates. So we're excited about the prospects here and we're very happy with the progress we've made so far.
Todd Coupland: And then just on OpEx. So OpEx overall growing a little bit. So is the takeaway that, that should be the trend as we go through the year and the operating leverage will come from gross margin and top line?
Asha Bakshani: Yes. I think, Todd, you can look at it that way. For sure, we expect a lot of growth from top line and gross profit. But as we said in the opening remarks, we have an unwavering focus on prudent spend across the org. We're continuing to renegotiate our significant contracts, such as our cloud contracts. We continue to negotiate our contracts with our payment service providers. And so for Lightspeed, it's an ongoing sort of renegotiation or an ongoing look at our cost base. And so you still should continue to see efficiencies from a cost perspective. But I would say, yes, a significant amount is going to come from the top line and the GP growth.
Operator: Our next question comes from the line of Suthan Sukumar with Stifel. Your line is open.
Suthan Sukumar: I wanted to touch on the -- from the early strength that you guys are seeing on the software ARPU side of the business. Can you talk about where you've been kind of seeing traction beyond the pricing on the flagship traction from a module upsell perspective so far?
Jean-David Saint-Martin: Yes. I mean -- so as I think you heard from us before, first and foremost, if you think of our flagship products, our software ARPU is higher than our legacy products. That's why we've been able to move softer ARPU upwards in the past quarters, quarter-over-quarter, and we keep that trend going. And that's as a result of software modules that we have on these selection of products being more significant than our legacy products on the hospitality side. Of course, our insights module is a significant one, and we're very excited with what's coming down the road map from new innovation perspective with KDS, benchmarking trends, precious things like that, that are also going to help. And then on the retail side, our inventory management and analytics module continues to be very strong, where we have a strong attach rate. So that's on the new business side. And then again, if you think about the overall software trend, our account management team is starting to generate a lot of pipeline that will make its way through in expanding goals for our customers. And that's also going to continue to be a meaningful contributor for Lightspeed, as it's always been in the past, right? So this has really been kind of a program that we launched with Unified Payments for a temporary amount of time. But as we go back to our usual formation you can expect the usual software growth to come back as you have been accustomed to.
Suthan Sukumar: The next question, I just wanted to touch on, as you guys are making a push globally into Europe and beyond, can you speak a little bit about some of the differences and the changes in the competitive intensity as you start to increase your focus outside North America?
Jean-David Saint-Martin: Yes. Outside North America, actually, it's a very fragmented and region-focused competitive landscape. So in each country where we operate, we see a different ecosystem. And really, that's a driving force of Lightspeed. And I think we're well recognized in international markets as being a dominant player there because we spend across multiple countries across Continental Europe and U.K. and same goes in APAC, Australia and New Zealand continue to be a very strong market for us. So I wouldn't say that there is a competitor that is as significant as we are in these markets, and it's in each specific country where you see a different mix or a specific incumbent.
Operator: This concludes our Q&A session. I will now hand it back over to Gus Papageorgiou for closing remarks.
Gus Papageorgiou: Okay. Thanks, everyone, for joining us today. Management team and I will be around if there's any further questions. We'll speak to everybody on our next conference call in November and look forward to seeing everybody live at our Capital Markets Day. Have a great day, everyone.
Operator: This concludes today's conference call. You may now disconnect.